Operator: Welcome to the NN, Incorporated fourth quarter and full year 2014 conference call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. [Operator Instructions] This conference is being recorded today, March 10, 2015. I would now like to turn the conference over to Mr. Robbie Atkinson.
Robbie Atkinson: I’m Robbie Atkinson, Corporate Treasurer and Investor Relations Manager and on behalf of our entire team I’d like to welcome you to NN’s fourth quarter and full year 2014 conference call. Our presenters this morning are President and Chief Executive Officer Richard Holder and Senior Vice President and Chief Financial Officer James Dorton. Also here are Will Kelly, Vice President and Chief Compliance Officer and Tom Burwell, Vice President and Chief Accounting Officer. If anyone needs a copy of the press release please call the financial relations board at 212-827-3746 and they’ll be happy to send you a copy. Before we begin I’d ask that you take note of the cautionary language regarding forward-looking statements contained in today’s press release and in the risk factor’s section of the company’s 10K for the year ended December 31, 2014. This same language applies to the comments made on today’s conference call including the Q&A session as well as the live webcast available at www.Earnings.com. Our presentation today will contain forward-looking statements regarding sales, margins, foreign exchange rates, cash flow, tax, acquisition synergies, future operating results, performance of our worldwide markets, and other topics. These statements should be used with caution and are subject to various risks and uncertainties, many of which are outside of the company’s control. This presentation also includes certain non-GAAP measures as defined by SEC rules. A reconciliation of such non-GAAP op measures is contained in the tables in the final section of the press release. First, we’ll give an update and overview of the quarter and the year and then afterwards we’ll open up the line for questions. With that said, Rich I’ll turn the call over to you.
Richard D. Holder: I think we can all agree that 2014 was a transformative year for NN. We’ve emerged a new and revitalized company with a larger more diverse portfolio which we certainly hope will open new end markets and opportunities for growth into the future. In 2014 we closed four acquisitions and added a second industry leading business to our portfolio with the Autocam Precision Components Group. Throughout 2014 we improved operating performance in our businesses despite headwinds from the weak European demand and the strengthening US dollar. This trend continued into the fourth quarter. Operating performance improved in our legacy business while at the same time our integration efforts at our four acquisitions are ahead of schedule. The integration of Autocam Corporation, by far the largest acquisition in our history is ahead of all of our key performance metrics. As a result of these activities we’ve posted record sales, adjusted income from operations, and adjusted net income for 2014. During Q4 2014 we witnessed the first full quarter of sales and operations from the four acquired businesses. As a result, fourth quarter net sales rose to $153.8 million up 71% from the same period in 2013. This included approximately $65.9 million in net sales from the four acquired businesses. The impact of foreign exchange translation during the quarter was about $2 million in sales and resulted in an after tax impact of $200,000 or $0.01 per diluted share. Sales for the full year came in near our post-acquisition expectations of $488.6 million, up 31% over the prior year. This includes approximately $101 million in sales from all four acquisitions. Adjusted income from operations for the quarter rose to $10.9 million compared to $6.5 million in Q4 of 2013. For the year 2014, adjusted income from operation rose to $39.9 million up 40% compared to 2013. Fourth quarter adjusted net income was $5.7 million or $0.30 per diluted share compared to $4.5 million or $0.25 per diluted share in Q4 2013. 2014 adjusted net income was $23.8 million compared to $17.7 million for 2013. Clearly our four acquisitions, our organic and adjacent growth coupled with the improving operating performance of our business were the primary drivers behind this outperformance. With that, I’m going to turn it over to Jim to walk through the details of the financials and I’ll return with my 2015 commentary afterwards.
James H. Dorton: We are pleased to be able to report a very good fourth quarter despite the economic headwinds that Rich mentioned and also including the impact of the foreign exchange translation. Given that this was the quarter following our biggest acquisition, we continue to have acquisition integration costs which we excluded from our adjusted earnings and I’ll cover that in a moment. We earned $0.30 per share on an adjusted net income basis during the quarter, up from $0.25 per share in the fourth quarter of last year. The lower euro currency value cost us, as Rich said, about $2 million in revenue and $0.01 per share if you compared that with the exchange rate in the third quarter. Adjusting for currency we would have been at $0.31 per share which was right on the consensus estimate that we followed. The increase in EPS versus the fourth quarter of last year resulted from the net accretive impact of our acquisitions combined with an improvement in manufacturing margins in our legacy businesses. These manufacturing margins were up from 20.2% in the fourth quarter of last year to 23.1% this year. This improvement is being achieved by a relentless focus on achieving maximum incremental profitability which we term flex productivity. As Rich mentioned, the integration of our four acquisitions and most notably Autocam, are all ahead of schedule and meeting budget targets. We incurred $3.8 million of acquisition, integration and related impairment costs during Q4. Audit costs, legal, and consulting expenses for the acquisition were the majority of the carryover expenses. We also took impairment charges for obsolete trade names related to the Autocam acquisition. We excluded these acquisition related costs from the adjusted net income number to arrive at $0.30 per share. In addition, as has been our practice for several years, we excluded the foreign exchange losses on intercompany loans which totaled $.3 million in Q4. These adjustments are shown in a table at the back of the press release and they will be detailed more fully for the year in the 10K which will be filed next week. As Rich mentioned, sales were $64 million higher than the fourth quarter last year due primarily to the acquisitions. But excluding the acquisitions and adjusting for currency changes, sales were up 6% outside of Europe. Europe was down 5% in the fourth quarter but this was due primarily to yearend inventory management by some of our largest customers. We are already seeing the reversal of that in the first part of this year. For the second half of 2014, looking at Europe, actual demand was fairly stable although still off from the prerecession levels as Rich commented. SG&A expense for normal operations was $13.8 million excluding acquisition related costs and restructuring. This was 9% of sales in the seasonally slower fourth quarter and we think SG&A will average closer to 8% of sales pro forma for the full year. We had an effective book tax rate of 60% during the quarter, although the average of our actual tax rates by country is usually between 28% and 31% depending on the mix of income. The high tax rate in Q4 resulted from two main factors. The first was the expiration of foreign tax credits which would have been utilized were it not for the acquisition costs expensed during the year. The second reason was related to the amount of non-deductible acquisition costs such as M&A advisory fees that we incurred during the year. We excluded these items from adjusted earnings. On an adjusted earnings basis, the tax rate was actually lower than average due to lower international volume in the fourth quarter coupled with our expenses in higher tax areas which tends to offset the income from lower tax regions. Moving briefly to the balance sheet, we ended the year with cash of $37.3 million and total debt of $350 million. Working capital was in a normal range for us with a cash collection cycle of around 70 days. We had positive cash flow of $15 million during Q4 which was in line with our expectations. With this, we repaid $5 million of debt and cash was up $10 million over the previous quarter. Capital spending totaled $27.5 million for the year which was a bit higher than our forecast and this was due to capitalizing for new sales programs at Autocam that were already underway when we acquired the company. That concludes my brief financial comments and now back to Rich.
Richard D. Holder: We entered 2015 ahead of our strategic plan on many fronts and we believe we’ll continue that momentum that we’ve built over the last 15 months to further our progress towards the 2018 goals. The global economy in 2015 will again present a mix bag. I’d like to continue to highlight that our European sales levels are still off our historical highs and European automotive and industrial markets are well below 2011 prerecession levels. While we’re optimistic that the global economy will see improvements as the year progresses, our businesses are built to expand margins in the current environment. As some of the weaker margins begin to show improvement in 2015 and beyond, we’re in a position to bring strong incremental profits to the bottom line. The impact of foreign exchange on our business is one we continue to monitor closely. We expect foreign exchange to have a negative impact in 2015 relative to sales of 3% to 5%. With this backdrop, we expect 2015 to be another solid year of growth for us. Our business will be growing at an 8% rate while our margins continue to expand and we make progresses towards our strategic initiatives. We’re forecasting our 2015 fx adjusted revenue to be $670 million to $690 million which would equate to an annual sales growth of approximately 37%. To close, I’m very proud of our accomplishments over the past year and I send my sincere thanks to my entire team. The results of the fourth quarter and 2014 continue to provide evidence that we are committed to doing what we said we would do. We’re delivering strong performance in our legacy business with continued improvement in adjusted income from operations while at the same time integrating four critical acquisitions ahead of schedule. We’re extremely excited about 2015 and remain well positioned to deliver great shareholder value while continue to execute our strategic plan to build a diversified industrial company that is a consistent earner through the cycle. That concludes my comments and now we’ll open up the line for questions.
Operator: [Operator Instructions] Your first question comes from Steve Barger – Keybanc Capital Markets.
Steve Barger: First, on the outlook, the release didn’t talk about an EBITDA range relative to the revenue guidance reductions but you did talk about being able to expand margins in the current environment. How does that range change given your update and do you expect that you can achieve an operating margin of 10% in 2015?
Richard D. Holder: I think probably the best way to answer that is it’s been our practice over the last number of years to only provide guidance on the top line. Last year, because of acquisition related financing we sort of went beyond that but we’ve been kind of clear that we’re returning to that normal course of behavior with that phone call and I probably should have mentioned that. With that said however, I think we provided a pretty good strategic update relative to what we think would happen in margins and the like and we feel very comfortable that the 2015 plan will be appropriately reflective of where we should be along the path of the strategic plan.
Steve Barger: The strategic plan of 2018 you’re talking about?
Richard D. Holder: Where we should be along the continuance of the strategic plan. Yes, the 2018 plan.
Steve Barger: If you don’t want to give numerical operating margin expectations, is it reasonable to think that you should drive some fairly significant operating margin expansion this year given the top line benefit that you’re going to get from the acquisition and the integration synergies?
Richard D. Holder: I would tell you that would be in line with the strategic plan, absolutely.
Steve Barger: Can you give us revenue and operating margin of Autocam on a standalone basis and maybe talk about what metrics you’re talking about when you say the Autocam integration is ahead of schedule?
James H. Dorton: We’re not prepared to talk at that level right now. We will have segment operating information in the 10K when it comes out for the year.
Steve Barger: Do you know when the 10K is going to be filed?
James H. Dorton: On Monday.
Steve Barger: I guess maybe to the last question then, what metrics are you talking about when you say the Autocam integration is ahead of schedule?
A - Richard D. Holder: Primarily schedule and synergies.
Steve Barger: In the release, you talked about some of the weaker end markets begin to show improvement in 2015, what markets are you talking about specifically?
Richard D. Holder: Candidly, we have a thesis that says we think Europe will be a little bit stronger than we built the plan on. We think Asia may show some additional strength as well and the US is holding fast so predominately for us we’re looking for an uptick in Europe.
Steve Barger: One more and then I’ll get back in line. You talked about the fx impact on the top line which I think everybody understands what’s going on there, but what was the Euro level built into your model before and what are you using now?
James H. Dorton: We built our original plan at $1.25 Euro. The Euro is currently, as of yesterday, at about $1.08 so we’re basically at that level not trying to call the bottom, or the top, or anything, we just went with the current.
Operator: Your next question comes from Daniel Moore – CJS Securities.
Daniel Moore: Jim, you mentioned a lower tax rate adjusted. What was the tax rate used to adjust the $0.30 EPS?
James H. Dorton: It’s a little bit of a difficult question but I’ll give you what I think is the right answer. We were approximately 25% if you pull out the kind of strange items and there were a few in there, too much detail to go into now. The actual tax rate was closer to 9% but that’s a calculation that’s dependent on what was pulled out for the non-operating items. But I think it’s best to think about it in terms of about 25% for this quarter and a normal run rate for us 28% to 31%.
Daniel Moore: How much of the $15 million to $20 million synergies that you targeted previously have been achieved thus far and do you expect to achieve the full amount by the end of ’15 on a run rate basis?
Richard D. Holder: I’ll tell you that we are pretty bullish about our 2015 plan and achieving that plan. We are ahead of schedule right now on the 2015 plan and that fits right in going forward.
Daniel Moore: The guidance of 8% underlying revenue growth, you talked about some markets improving as the year goes on, do you expect faster growth in the back half of the year to get to that 8%? Is it dependent on those improvements? Just trying to understand how you see the year shaking out overtime?
A - Richard D. Holder: I think we are looking for a rise in growth, let’s call it second and third quarter. What you’ll find is with the new makeup of the business, our typical seasonal profile is changing. Where we were it looked a lot like a bit of slow high first quarter and sort of tailing down, I think we’re looking today more we’re stronger in the middle of the year. I think that’s where it will manifest late second quarter third quarter.
Daniel Moore: Maybe just take a step back and talk about some of the changes that you’ve made since adding Autocam both in terms of marketing and sales that have been implemented in the last six months and what’s the impact you expect to have over the next year or two?
Richard D. Holder: I think the biggest change, when you think about that, is in fact we now have a professional sales and marketing organization not only within the Autocam group but also within our bearing and quickly emerging in our plastics group as well. We’re calling on customers, we’re having conversations and have in fact received commitments from customers that heretofore we hadn’t done business with. We have a very robust funnel and in many cases that funnel is a function of capturing share as much as it is getting a little bit of market [windage]. I think the sales and marketing team that we have developed and continue to develop are paving the way nicely.
Daniel Moore: One more and I’ll jump back. Just looking at your longer term targets that you unveiled a couple of weeks ago, the goal just to drive margins in the metal bearings components part of the business even higher than precision components, maybe just walk us through the key assumptions and drivers of that kind of 600 to 700 basis point projected improvement in MBC over the next four to five years?
Richard D. Holder: Well, there are a couple of pieces to that and maybe I’ll see if I can boil it down maybe to three significant pieces. I think one piece is manufacturing rationalization. We have product that we’re manufacturing in spaces that are inconsistent with the cost curve if you will. We have a program, for instance, in the Netherlands where we’re taking the high engineering products out of our newly acquired Konjic facility in Bosnia and moving that product into the Netherlands. At the same time we’re rationalizing the lower engineering requirement product out of the Netherlands and moving that into the Konjic facility. When you look at the margin effects on those two it’s significant. Additionally, the growth in the Konjic facility brings with it a much better margin profile than the business has today and so that’s kind of one piece. To get a little bit more granular we have the same series of activities going on in our Mountain City and Erwin, Tennessee plant. Again, it’s a manufacturing rationalization to optimize our margin profile within each manufacturing facility. For metal bearing at least, that’s kind of number one. Number two really kind of joins with it, it’s a growth profile. Much of our growth will come in the taper, roller line, and in the taper cylindrical roller part of the business. These are inherently better margin profile businesses. They’re inherently more complex to make. They have a bit of a more stable cycle as they’re not completely attached to the automotive business. It’s more [indiscernible], it’s more linear systems, and things of that nature. Some of these at least, are new markets that we haven’t been playing in. That’s kind of number two in how we achieve that. Number three candidly, is we have got some really interesting adjacent growth opportunities that we have invested the money in, candidly, to get the facilities ready to take on these opportunities. We’re beginning to receive purchase orders. It’s taking us down an entirely new path of the business and again, it’s a new path that displays a better margin profile. You put these things together, those three major things and you get the kind of margins that we’re looking at.
Operator: Your next question comes from Keith Maher – Singular Research.
Keith Maher: On Europe, what percentage sales is Europe for you guys now, or what was it in 2014?
Richard D. Holder: For us right now Europe is call it about 30% of our sales.
Keith Maher: You’ve mentioned you thought you saw some end of year inventory clearing in Q4 and that you were starting to see a reversal this quarter. Is that what you meant when you talked about Europe maybe coming in better, or are you saying in market demand, or just some of the inventory restocking in terms of what you think can materialize this year?
Richard D. Holder: Let me see if I can clarify that. We know we had inventory adjustments taking place by major customers in Q4 in Europe and we think that has returned. Those adjustments have normalized or will normalize by the end of Q1. That’s a separate issue from looking at the end market and what we’re seeing, or what we believe we’re seeing and what the performance indicators are telling us is that Europe, particularly Western Europe, is showing a bit more of a pulse than we had planned which is separate from the inventory piece. Additionally, we have some actions taking place in Europe that seem to be resulting in the ability to take some share. While we don’t think it’s time to dance in the street for Europe, we do think it’s going to perform a bit better than we have in the plan and for us that’s significant because one of our largest areas to drive bigger incrementals in fact, is in Western Europe.
Keith Maher: I was wondering about the acquisition related costs, when those might go away or will we still be seeing those in Q1?
A - Richard D. Holder: I think it’s probably fair to say that you can never completely peg the date on this but I think mid ’15?
James H. Dorton: Certainly mid ’15. We don’t think we’ll have any big adjustments at all in ’15 for actual out-of-pocket costs except for our internal costs.
Keith Maher: Then a question on guidance not earnings, but if you could give any guidance on cap ex and depreciation and then as well as where you think you’re going to go with debt repayment this year?
James H. Dorton: We’re not going to give that kind of guidance but we did give last year, right after the acquisitions were completed, we gave a cap ex look at the next year and you can use that as a go by.
Operator: [Operator Instructions] Your next question comes from Larry Pfeffer – Avondale Partners.
Larry Pfeffer: Just to run through Europe again, in the first quarter right now, if we exclude currency are you guys up on a year over year basis in terms of volumes?
Richard D. Holder: If you exclude currency, yes we’re up on a year-over-year. But, keep in mind, at least some of that is the inventory actions that were taken in Q4 that were pushed into Q1. We think the quarter will probably net out a little stronger than planned even with that inventory adjustment, however.
Larry Pfeffer: Just kind of on a broader basis for the full year revenue outlook, I get the currency angle, any real change in terms of the organic or adjacent market growth momentum?
Richard D. Holder: I think I would tell you that we feel that our plan is pretty solid. We’ve not done a lot of pushing and pulling, it’s been driven primarily by currency so I’ll tell you we haven’t changed the plan.
Larry Pfeffer: Then just lastly, I know you guys had talked post Autocam about a 23% gross margin, is that still what you’re looking at for 2015?
James H. Dorton: Well, that’s what we achieved in the fourth quarter. Just to be clear, we’re calling manufacturing margin gross margin before depreciation so that 23% is gross margin before depreciation or manufacturing margin.
Operator: [Operator Instructions] Your next question comes from Steve Barger – Keybanc Capital Markets.
Steve Barger: I’m just looking for some clarification. You did a big transformative acquisition in 2014, allocated a lot of capital obviously, you’re excited about growth opportunities and you say you’re bullish on the 2015 plan so can we just go back to the thought process around providing less disclosure around margin or EBITDA targets? Why not help investors think more clearly about the earnings power of the company?
A - Richard D. Holder: I think the way to think about that for us is we want to put accurate information out there. We’re in the process of building up an infrastructure in the organization that I think will allow us to collect that information and provide us a level of detail that we think we’ll be comfortable with for some future date to continue to guide to that level. I don’t want to put something out there and have to come back and change it. It should sort of stand on its own and I don’t think we have the infrastructure today to do that in as elegant a fashion as I would like. We’re building it, I think we’ll have it shortly. I think once we have it we’ll revisit the level of guidance that we provide, but today I think it’s a wiser move on our part to get that built first.
Steve Barger: But longer term, to be clear, you do think you’ll go back to more disclosure versus less as you build out that infrastructure?
Richard D. Holder: I think we’ll have the ability and it’s certainly something we’ll consider. I think as we become a big boy company it’s something that I don’t think we’re going to be able to run away from which is exactly why we need to build the infrastructure now to be able to do that so, yes.
Operator: We have no additional questions at this time. I’ll turn the conference back over to management for any additional or closing remarks.
Robbie Atkinson: We appreciate everybody’s time this morning. We enjoyed catching up and if you have any further questions after the call that you would like to clarify please feel free to reach out to me. We look forward to talking to you soon. Thank you.
Operator: Ladies and gentlemen that does conclude our conference for today. We thank you for your participation.